Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Summit Materials First Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers presentation there will be question and answer session. [Operator Instructions] I'll now turn the conference over to Karli Anderson. Please go ahead.
Karli Anderson: Welcome to Summit Materials' first quarter 2021 results conference call. We issued a press release yesterday afternoon detailing our financial and operating results. This call is accompanied by our investor presentation and an updated supplemental workbook highlighting key financial and operating data, all of which are posted on the Investors section of our website. Management's commentary and responses to questions on today's call may include forward-looking statements, which, by their nature, are uncertain and outside of Summit Materials control. Although these forward-looking statements are based on management's current expectations and beliefs, actual results may differ in a material way. For a discussion of some of the factors that could cause actual results to differ, please see the Risk Factors section of Summit Materials' latest annual report on Form 10-K, each of which is filed with the SEC. You can find reconciliations of the historical non-GAAP financial measures discussed in today's call and our press release. Today's call will begin with a business update from our CEO, Anne Noonan, than our CFO, Brian Harris, will provide a financial review and Anne will provide concluding remarks. We will then open the line for questions. [Operator Instructions] With that, I'll turn the call over to Anne.
Anne Noonan: Good morning, everyone, and thank you for joining our first quarter 2021 earnings call. We'll begin on Slide 4 of the presentation with an overview of our first quarter performance. Before I brief you on our operating and financial results, consistent with our normal practices at Summit, I would like to start by providing an update on safety. Safety is the single most important core value driving the daily actions of all Summit employees. Our highest priority is that all of our approximately 6,000 employees uphold the highest standards for safety and return home safely after every workday. Our focus continues to be on driving a zero incident safety culture. I am pleased to report that many of our operating companies have achieved zero recordable incidents year-to-date. Safety is a core value. And at Summit, we are committed to a journey of improving our performance every minute of every day to ensure that we keep our employees and the communities that we serve safe. Enhanced safety and distancing protocols are still in place throughout the company in response to COVID-19, ours is an essential business, and we take that responsibility seriously. A few of our offices remain closed and continue to have remote workers subject to local guidelines. However, we expect to complete the transition to in person working to the entire employee base over the next few months, provided that local health conditions continue to improve. I'll turn now to our financial and operating results. After a strong finish 2020, Summit has accelerated into 2021 with record first quarter results. Migration activity continues to favor our rural and exurban markets and most of the state departments of transportation that we serve are on solid financial footing. We are in full implementation mode on our Elevate Summit strategy, and we are seeing early signs of success. We remain focused on sustainable growth with investments in greenfields and end markets that are underpinned by strong growth fundamentals. We delivered record Q1 results for net revenue and adjusted EBITDA. Our Q1 adjusted cash gross profit margin expanded to 20.4% from 14.6% in the year ago quarter, an expansion of over $31 million in dollar terms, an impressive outcome for which is typically our lowest volume quarter of the year when annual price increases have not yet taken effect. Volume growth was robust throughout the quarter, with aggregate volumes up 20.7%, cement volumes up 13.7%, ready-mix volumes up 7.6%; and asphalt, up 15.9%. Though there were only two weeks left in the quarter when we announced our Elevate Summit strategy, we hit the ground running with several initiatives out of the gate. We completed one strategic divestiture in the quarter and began work on several more. Our EBITDA margin and ROIC improved on a trailing 12-month basis, and our leverage remained flat versus last quarter. On Slide 5, we've highlighted our performance at the segment level. Our West segment is the largest contributor to our financial results. It reported record net revenue of 27% and adjusted EBITDA up 81% in the first quarter on continued strength in the Texas and Utah residential markets, all of which drove higher aggregates and ready-mix demand. Market conditions in British Columbia are still improving. Our East segment reported higher aggregates and asphalt demand. We set records for net revenue, which was up 3% and had record adjusted EBITDA, which was up 23%, driven by ready-mix demand partially offset by fewer wind farm projects when compared to Q1 2020. We also had a change in product mix in Kansas, where we sold more base material than a year ago as contractors got an early start to the construction season. This mix impact negatively affected the average aggregate selling price for both the segment and Summit as a whole but contributed to significant bottom line growth in the quarter. In adjusted EBITDA dollar terms, the East segments reported $11.7 million of adjusted EBITDA, an increase of 23% over the year-ago quarter. The Cement business continues to report increasing demand with volume up 13.7% in Q1 and revenue up 7.2%. Cement's trailing 12-month adjusted cash gross profit margin is at 40.8%. Our Green America Recycling facility is currently ramping back up to full production. The project to expand the Green America facility is also well underway. Turning to Slide 6. Seven weeks ago, we presented our Elevate Summit strategy. We are seeing encouraging signs of early success but understand that the road ahead will require continuous execution, discipline and creativity to deliver better returns as sustained long-term organic growth. We have created centers of excellence to focus on four critical capabilities across our lines of business. Operational excellence for aggregates, construction and asphalt and ready-mix lines of business and commercial excellence across the entire Summit enterprise. We are standardizing in areas like purchasing, technology and asset utilization and developing the tools required to optimize return on invested capital across all of our assets. Standardization will drive best-in-class practices across the business and improve consistency of results and agility of decision-making while optimizing our overall cost structure and productivity results. As a reminder, we have 4 key strategic priorities: First, enhancing our market leadership. We want to continue to be number one or number two in exurban and rural markets. These are the markets where we shine by leveraging the strength of our local operating companies and brands and more people are migrating to them each week. These population ships will require the construction of new homes, schools and roads. We are optimizing the portfolio through selective divestitures to provide the flexibility to expand into key targeted markets, where Summit will be best positioned to deliver on our targeted metrics of greater than 30% EBITDA and greater than 10% ROIC. Market leadership fosters value pricing and is a key driver of long-term margin growth. In Q1, we completed the divestiture of the Glass aggregates business, which was not strategically core to our portfolio. This divestiture generated $33 million in cash proceeds and a total gain on disposition of $15.7 million. Summit's portfolio optimization team includes a combination of on the ground knowledge and relationships through our regional teams as well as excellent transaction and deal sourcing expertise from our corporate development team. The tight integration of corporate development with Summit's regional leadership will continue to drive growth in our strategically targeted markets. We will allocate capital intentionally and strategically in alignment with our Elevate Summit goals. We are also deploying capital more efficiently with an asset-light approach. Shortly after quarter end, we successfully divested an asset-intensive business where we were not the rightful owner. As part of the transaction, the counterparty committed to a long-term aggregate supply contract with Summit, thus strengthening an existing customer relationship while reducing capital deployed and complexity of our business. This divestiture met the criteria that we spoke of on March 16 when we rolled out our asset-light approach. It was an isolated downstream asset in a low growth market where we were not number one or number two, it competed with different competitors in the downstream versus the upstream, the business did not have the capability under our ownership near or medium-term to meet our financial goals of greater than 30% EBITDA and greater than 10% ROIC. And finally, we had the opportunity to pull-through our aggregates with a long-term supply contract. We have committed to lead on social responsibility, not only because it is the right thing to do, but it also has significant importance to all of our stakeholders. We started the process to establish our CO2 baseline and other measurements to understand the key drivers behind our social and human impact, land use and emissions performance. We're standardizing reporting across the company, and we'll use that data to develop a road map to become the most socially responsible integrated construction material service provider. We are expanding our Green America Recycling facility and expect to have it completed this year. Our valued customers tell us that they face increased challenges and opportunities with regards to ESG. With our commitment to ESG, there is an opportunity to bring value to our customers and the communities we serve through delivery of innovative solutions to meet increasingly stringent building codes and demands for lower emission products and services, while enhancing the overall quality and financial performance of our business. Finally, our fourth strategic priority is a commitment to invest in innovation. We are beginning to assign resources to the function and developing an inventory of projects and products that we already sell or have been working towards with industry and university partnerships. For example, our Buildex-Lightweight aggregates business is benefiting from the demand for greener, more innovative solutions because our product, KDOT reduces energy, labor and transportation costs. Innovation will help Summit to be less reliant on one line of business or one geography and drive us towards greater than 30% EBITDA margins in the long term. On Slide 7, you'll see a graphic that we introduced during our Elevate Summit Investor Day that summarizes our strategic execution plan and deliverables over three horizons. We are currently in Horizon 1, which is detailed at the bottom of Slide 7. We've completed our portfolio review and are in the process of divesting underperforming and noncore businesses while focusing on key drivers of value creation. We are looking at ways that we can do more with less capital intensity. Standardizing processes across the company to improve agility and our underlying cost structure and cultivating a culture of excellence to drive sustainable, profitable growth across our portfolio. We are establishing specific goals for social responsibility and starting to recruit talent and invest in resources to develop a compelling innovation strategic roadmap. We expect these Horizon 1 efforts to drive us towards an adjusted EBITDA margin of 23% to 26% and ROIC of approximately 9% and less than 3 times leverage. When we presented the strategy on March 16, we told you that Summit's long-term financial goals will be pursued through a multi horizon implementation of the strategy and that we would report regular progress along the way. Following through on that pledge, we have an update on Slide 8. As I said at our Investor Day, we are playing the long game. I want to take the opportunity to level set on expectations. We believe these goals are clearly within our sights but it may not be a linear upward trajectory each quarter due to the nature of our strategic priorities. A great example is the divestiture of assets that may cause fluctuations in results as we progress through portfolio optimization. While we can't promise a perfect steady line towards our goals, we can promise transparency and relentless focus on execution. We are off to a good start. Our leverage ratio is 3.2 times, unchanged from what we reported in December and a major improvement from 3.8 times a year ago. Keeping our leverage ratio unchanged is also notable because our leverage ratio typically increases in the first calendar quarter of the year because it usually has the lowest EBITDA contribution. Based on business conditions today, we believe that achieving our Elevate Summit goal of less than 3 times leverage is within striking distance this year. Of course, we will balance our leverage ratio with other capital allocation priorities along the way, but achieving our less than 3 times goal is close. Return on invested capital for the trailing 12 months improved by 60 basis points to 8.6% from 8%. We've seen a cultural change at Summit with our regional leaders taking charge on this metric, and challenging their teams to be more capital efficient, to be better positioned in a market by divesting or acquiring assets and to pursue an asset-light approach where it makes sense. We expect that ROIC may fluctuate a bit as we go through this period of divesting assets, but we believe our strategy positions us well to drive towards a greater than 10% target. Adjusted EBITDA margin expanded 50 basis points to 23.2% in the trailing 12 months ended April 3, 2021, from 22.6% in calendar 2020. Our commercial teams drove results that more than offset the impact of lost production stemming from unfavorable weather conditions in late February. On Slide 9, we've provided an update of the current end market conditions in our top five states by 2020 revenue. Summit's end-use markets are roughly 38% public, 31% residential and 31% nonresidential. Demand for U.S. housing is robust, with housing permits up 2.7% in March relative to February 2021, and up 30% year-over-year, likely reflecting a combination of strength today and COVID-related weakness a year ago. In Texas, TXDOT is projecting $9.6 billion in lettings in the current fiscal year, a substantial increase from last year. In addition, Texas is expected to receive over $1.9 billion from the recent stimulus, which reflects a combination of legislation passed in December 2020 and March 2021. Houston is still one of the country's most diverse and highest growth residential markets, and single-family home permits were up 18% in March year-over-year. Nonresidential construction activity has been resilient in many of the suburban and exurban markets, and we are seeing signs of recovery in the Permian Basin area. By contrast, the Panhandle area may see fewer lettings later this year as TXDOT embarks upon some large projects in other parts of the state. Single-family permits in Salt Lake City were up 7.8% in March year-over-year and inventories of new homes remain at historical lows with less than one month of inventory reported. UDOT is forecasting a modest revenue increase for the current fiscal year in addition to $263 million in expected stimulus. Utah is one of some of its highest growth markets and is a great example of where our vertically integrated model is fully leveraged to deliver Utah is 1 of some of its highest growth markets and In Kansas, KDOT is planning for $1.9 billion of spending in its current fiscal year budget, growing to $2.2 billion for fiscal 2022. Single-family permits are up 14% across the entire state in March year-over-year. Kansas is an excellent market for Summit, where we are well positioned to continue to leverage past and ongoing investments in our operating companies and greenfields to deliver sustainable organic growth. While Missouri's Department of Transportation initially estimated a decline in tax revenue of up to 30%, they have recently announced plans to deploy approximately $360 million worth of projects that have previously been deferred. Missouri is also expected to receive approximately $437 million of stimulus. Finally, in Virginia, the current budget reflects an increase of 16% over the prior year. Single-family permits are up 12% year-over-year in March, while the state is expected to receive $1.05 billion of stimulus. Wrapping up on Slide 10. We are pursuing an aggregates greenfield development strategy focused on markets that are underpinned by strong growth fundamentals. Investments in these targeted growth markets is key to delivering sustainable organic growth. For example, we are expanding our presence in Georgia with an aggregates greenfield that will start-up in mid-2021 in the Atlanta ex-serves. That location has favorable migration trends and job growth, in a state with a strong DOT funding profile and major mobility program. We have another greenfield development well advanced in the Carolinas, which will expand our presence in 1 of the fastest-growing markets in the country. The state DOT funding conditions are also rapidly improving in both North and South Carolina. It is estimated that Summit will generate $45 million of adjusted EBITDA on an annualized basis by 2024 from these projects once they are in full operation with $18.7 million generated in 2020. Expected investment in greenfields $25 million to $35 million in 2021 as part of cumulative capital spending of approximately $200 million on greenfield. These greenfield projects complement our existing business and provide another avenue for long-term sustainable growth. With that, I'll turn the call over to Brian for a discussion of our financial results.
Brian Harris: Thank you, Anne. On Slide 12, we've provided our net revenue bridge comparing Q1 2021 to Q1 2020. Summit's net revenue increased $56.1 million or 16.4% in the first quarter of 2021 and to $398.5 million compared to $342.4 million in the first quarter of 2020 on higher aggregates, ready-mix concrete, cement, asphalt and paving revenue relative to a year ago due to strong demand in most markets. Our West segment led the way, contributing an incremental $37.6 million organic net revenue on higher aggregate and ready-mix volumes, particularly in Utah and Texas. We also benefited from an incremental $12.7 million in revenue associated with acquisitions of operations in Texas, and British Columbia that closed in the third quarter of last year. Our East segment net revenue was up $3.1 million as we had higher volumes in Virginia, parts of Kansas and Kentucky relative to a year ago. Our Cement segment net revenue was up $2.7 million in Q1 relative to the prior year quarter on stronger demand, particularly in the southern markets and the earlier opening of the river for North band barge traffic. Turning to Slide 13. We provided our Q1 adjusted EBITDA bridge. We ended the quarter at $41.7 million, up over 167% from a year ago. The biggest drivers of the increase were record organic West segment performance relative to a year ago, as well as higher returns from cement. Turning to Slide 14. You'll see key GAAP financial metrics. We reported an operating loss of $25.1 million in the first quarter 2021, an improvement of 39.9% compared to an operating loss of $41.7 million in the prior year period. Net revenue gains in all lines of business exceeded increases in cost of revenue and more than offset a $10 million increase in general and administrative expenses, which included $3.4 million in severance and related costs as well as increased professional fees associated with optimizing organizational efficiencies. Reported first quarter 2021 net loss attributable to Summit, Inc. of $25 million or $0.19 per basic share was an improvement of 50% relative to a year ago, and we reported a net loss of $45 million or $0.40 per basic share. This reflected substantially higher performance in our West segment relative to a year ago together with a $15.7 million gain on sale of a business unit. Turning to Slide 15. We presented several non-GAAP financial metrics where we compare Q1 2021 to Q1 2020 as well as the trailing 12-month comparison. Adjusted cash gross profit margin expanded by an impressive 580 basis points in the first quarter and expanded by 130 basis points on a trailing 12-month basis on a combination of higher volume and price improvements from aggregates, ready-mix and asphalt in nearly all of our markets. Adjusted EBITDA margins expanded 590 basis points for the quarter, and on a trailing 12-month basis, we are at 23.2%, which is an increase of 50 basis points. Adjusted diluted net loss improved 31% in Q1 2021 to $38.9 million or $0.33 per share relative to Q1 2020. Turning to Slide 16. We've provided a comparison of our price and volume for the first quarter 2021 versus Q1 2020. Organic average selling prices in the first quarter of 2021 were unchanged for aggregates and increased 0.4% in cement, 3.7% in ready-mixed concrete and 5.5% in asphalt. While most of Summit's geographies reported higher average selling prices for aggregates in the 2% to 6% range in the first quarter 2021, higher volumes of base material in the product mix in our Kansas and North Texas markets resulted in a lower reported company-wide average selling price than the prior year period. By way of reminder, our annual price increases don't go into effect until the start of the season, which is typically April 1. Sales volumes in a traditionally low first quarter increased 20.7% in aggregate, 13.7% in cement, 7.6% in ready-mix concrete and 15.9% in asphalt relative to the same period last year on strong demand in most of our markets as well as the impact of recent acquisitions. Turning to Slide 17. We provided adjusted cash gross margin in the first quarter 2021 versus Q1 2020 as well as the trailing 12-month comparison in all lines of business. Aggregates margins expanded 370 basis points in the first quarter to 41.8%, reflecting stronger aggregates pricing in most of our geographies. On a trailing 12-month basis, the margin percentage declined by 140 basis points. However, actual gross margin dollars increased by $14.4 million. Our products margins expanded by 220 basis points for first quarter and 130 basis points for the trailing 12 months as we experienced sustained volume and pricing growth for our downstream businesses, particularly in Utah and Texas. Margins in our services business expanded significantly, moving from negative 8.3% in Q1 2020 to positive 9.5% in Q1 2021, reflecting an unseasonably strong level of activity. The trailing 12-month margin improved by 610 basis points, reflecting the underlying strength of our Texas markets. Cement margins expanded significantly in Q1 and 230 basis points for the trailing 12 months to 40.8% as higher volumes resulted in lower unit plant costs. Our Green America Recycling facility continues to ramp up production following an explosion that occurred in April 2020. And the river reopened to North brand traffic 2 weeks earlier than normal, which allowed shipping to northern customers and earlier movement of inventory. Materials and products comprised 91% of our trailing 12-month adjusted cash gross profit, a slight increase from 88% for full year 2020. And we continue to expect the contribution from materials will be an increasing proportion of our EBITDA as we pursue our greenfield strategy, experienced organic growth in our markets, engage in M&A and divest underperforming downstream assets. On Slide 18, I'd like to highlight some modifications to our reporting structure for fixed production overhead and transaction costs which resulted in changes to our guidance for G&A expenses. Beginning in the first quarter of 2021, we are reporting fixed overhead expenses related to production in cost of revenue. Previously, we reported fixed production overhead expenses as general and administrative costs. Transaction costs, which were previously included in operating income or loss have been moved into G&A. We believe these reporting changes will foster greater transparency in comparability to our peers as we measure our performance. For quarterly modeling purposes for 2021, we estimate that G&A will now be in a range of $50 million to $55 million. We estimate that interest expense should be in a range of $22 million to $24 million and DD&A should be $54 million to $57 million. For the purposes of calculating adjusted diluted earnings per share please use the share count of $118 million, which includes 115.4 Class A shares and 2.6 million LP units. Turning to Slide 19, you'll see a summary of Summit's capital structure. Our Q1 2021 leverage ratio at 3.2 times was down by 0.6 times from Q1 2020, which is the lowest first quarter leverage ratio in Summit's history. Our leverage ratio typically increases in the first quarter as Q1 has the lowest EBITDA contribution of the year and relatively high capital expenditure. However, proceeds from the sale of a business unit combined with a strong financial performance allowed us to hold the leverage ratio constant. Our closing cash position was $359.7 million, which was an increase of over $150 million from Q1 2020. Moody's upgraded Summit Materials LLC Corporate family rating to BA3 from B1, citing continued strengthening of Summit Materials credit profile following the steady improvement in operating performance, higher predictability in free cash flow and robust operating fundamentals. Combined with our undrawn revolver, Summit had over $650 million in available liquidity at the end of the first quarter. Our Elevate Summit goal is less than 3 times leverage, and we believe that is within our sights in 2021. And with that, I'll turn the call back over to Anne for her closing remarks.
Anne Noonan: Thanks, Brian. On Slide '21, we've provided our outlook for this year which is unchanged from the guidance we provided on our last earnings call. We expect to revisit this forecast as the year progresses. For 2021, we expect to generate adjusted EBITDA of $490 million to $520 million, which at its midpoint assumes growth of 5% over 2020. We expect to spend $200 million to $220 million on CapEx, of which $25 million to $35 million will be related to greenfield. We continue to expect low to mid-single-digit price increases for aggregates and cement and low single-digit volume increases in those lines of business. We expect asphalt pricing and volume to be relatively flat. While our first quarter performance was excellent, it's important to acknowledge that our Q1 adjusted EBITDA represents just 9% of the midpoint of our full year outlook. So we believe making adjustments at this stage would be premature. Concluding on Slide 22, it is early days for the Elevate Summit strategy. We've listened and learned, and we are turning that feedback into action. We have a lot on our collective plates at the moment, but we, as a management team, believe this approach, market leadership, asset light approach, social responsibility and innovation will deliver better and more consistent results to our stakeholders over time. With that, I'd like to turn it over to the operator for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Stanley Elliott with Stifel.
Stanley Elliott: Could you give us a little more color on the divestitures, I believe, it was glass aggregates in the downstream business. Curious what they would have in common, if these were running below corporate average margins, if they were somewhat isolated, I know that market penetration has been a key focus on part of the Elevate strategy. And I'll hang-up and listen.
Anne Noonan: Thanks for your question. So the first divestiture we did was the glass aggregates business, and that's an example of a business that was basically in a low growth market, underperforming and just a little bit more color on that. It was actually tied to a long-term supply agreement that limited our ability to really get the margins and ROIC to the point we would meet our targets that we've set in place. And we weren't just the rightful owner. So it was much better. In this case, it wasn't strategically core either to sell the business, get $33 million in proceeds and $15.7 million on the gain. The other business we really haven't talked about as part of our asset-light approach, but what it had in common were the things that I talked about we divested after the end of the quarter. It was one where we looked at the downstream, said we're number four or number five. It was one where we didn't see a near-term to medium-term path to get to 30% margins and over double digit ROIC without significant investment. And candidly, we have a customer where we could develop a win-win relationship with, have a long-term ag supply agreement and it was net better for both parties. So it really fit right in that sweet spot of where we said we would use an asset-light approach.
Operator: And your next question comes from Phil Ng with Jefferies.
Phil Ng: Congratulations on a really impressive quarter and a great start to the year. Your unchanged guidance implies organic volume declines for aggregates, which seems pretty conservative, just given how things are shaping up so far. But curious to get any color on bidding activity? And any color on the lag on volume for some of the stimulus money called out and perhaps anything on the deferred letting work that you call out on Missouri as well?
Anne Noonan: Okay. Just a couple of things. So on our guidance, we had a very clear for the midpoint, low to mid-single-digit assumption on price for aggregates in cement and a low single-digit assumption on volume. And we did keep asphalt volume and price flat because of such a strong year in just a little bit of color on bidding activity. Texas is very, very strong for us and continues to be that. We did talk in our prepared comments about the fact that we're seeing a little -- we expect some decrease in the Panhandle, but we're seeing a bigger backlog in the Permian. So overall, Texas is just very strong for us. As we look across all of our markets, Salt Lake city continues to be strong from the public funding perspective, $263 million in stimulus. Kansas, very strong budget, $1.9 billion this year, $2.2 million next year. And then Missouri, $360 million has been put back into projects that was deferred and has now more stimulus of $437 million. So not at the levels that we've seen. I would say when we look at public spending across the board. We're saying it's normal course, but we're not seeing that stimulus money, really be seeing widespread growth at this point in time. And I think that's going to take some time for that to actually work through as we see the volumes grow. But we're cautiously optimistic about where we sit today on our volumes.
Operator: Our next question comes from Kathryn Thompson with Thompson Research.
Kathryn Thompson: This really surround supply chain and a broader question. Broadly speaking, first, could you clarify how the Texas fees impacted quarterly earnings? And what if any challenges you are facing from a supply chain standpoint? And along with that, with cement, certain parts of the U.S. are seeing tight supply with markets such as Texas on allocation now. How does that look like for you as you're planning over the next several months?
Anne Noonan: Thanks Kathryn. The Texas freeze, we had impact for about two weeks, and it was indeed impact because that's another year-round business for us, but the team did a phenomenal job in catching back up and ended up with a strong quarter, delivering really strong earnings. So it just shows the robustness of that business. From a supply chain perspective, we have not seen any very significant impacts on our supply chain at this point in time. I will say that cement supply demand dynamics have definitely tightened, particularly in Q1. And we've seen in a few of our key markets, we are on allocation. We have very strong relationships with our suppliers. So we -- the teams doing -- our regional presidents are doing a great job working through that. But cement overall nationally is definitely tight. But so far, we're able to manage it, but watching it very closely. And we are able to -- in our strong markets, and this is why we play in the downstream in certain markets. We are able to pass that cement price along, and our team is very focused on price execution and working with our customers to drive it through the supply chain.
Operator: Next question comes from Trey Grooms with Stephens.
Noah Merkousko: This is actually Noah Merkousko on for Trey. So I wanted to ask, the EBITDA margin in the quarter was really impressive. Can you give us any update on timing for when you think you can reach the high end of your Horizon 1 margin goal? I think it's 25%.
Anne Noonan: We haven't given specific timing to that at this point in time. I will say we're making very good progress, and it will really depend on how we get the schedule. A lot of these horizons when you look at our three horizons, let me step back for a minute, really will overlap a little bit. So we've said on that first horizon, we're trying to get 23% to 26% as a range. The reason we've ranged it because it will depend on how many of the divestitures we get done in Horizon 1, and how quickly we get those proceeds back in and reinvest it into the business. So we're moving, I would say, very fast. The team is doing a great job, but we're not sacrificing value generation for our shareholders in doing so, and continued focus on price will also, obviously, bring us heavily towards improving margins as we've shown this quarter.
Operator: Next question comes from Garik Shmois with Loop Capital.
Garik Shmois: You discussed the tight supply situation, Cement. Just curious if you could provide any thoughts on the potential second price increase later this year? And then same in aggregates, we've heard from several of your peers regarding targeted midyear price increases, any thoughts to additional pricing in aggregates as well?
Anne Noonan: So let me, first of all, address Cement, Garik. So as you know, we announced a price increase in Q4, and that's just coming into play here in April. So we'll be able to report on that as the quarter proceeds here along the river and see how our price execution actually goes. Clearly, in Q4, volumes were not as robust as they are in Q1. So the supply demand tightness is something we're watching. But we also, as we've talked about many times before, in segments of our market, it's very important to understand the competitive dynamics. I would not rule out another price increase in cement. Our team is very focused on value pricing. Of course, working with our customers to make sure that they can drive it down the supply chain. So we'll continue to look at that and report out as we go. From an aggregates perspective, our first quarter numbers, as we said in our prepared remarks, were a little impacted by mix. I would say price increases in aggregates are just coming in again. Most of our price comes in April. It's -- our first quarter, as we reported had double-digit volume growth year-over-year in most of our aggregate markets. And frankly, in most of our regions, we had 2% to 6% price increases. Because it's such a low volume quarter, we did see some base material that we sold in Kansas and North Texas, bring down our overall pricing, but the thing that we were very encouraged by, obviously, is the increase in adjusted cash gross profit margins to 20.4%, expanding by 581 basis points. We will continue, though, to monitor market conditions and closely look at competitive dynamics and we'll be very intentional and strategic with price increases as we proceed. Right now, we're sticking to our guidance of low to mid-single-digit price, but we will report on that as the year progresses.
Operator: Your next question comes from David MacGregor with Longbow Research.
Joe Nolan: This is Joe Nolan on for David. Congrats on a great quarter. I just wanted to ask about cost inflation, just how you're thinking about some of the different buckets there for the remaining of the year. And just when you think those might peak? And just any detail you can provide there?
Brian Harris: Thanks, Joe. Thanks for your question. It's obviously a hot topic these days on inflation. At this point, we're not seeing anything that would exceed the levels that we had baked into our original guidance numbers. We're obviously watching it very closely in the strongest of the markets, and we will be reactive if we see an opportunity to pass any inflationary increases on -- in price. We're seeing that, obviously, where we get cement price increases. We are able to pass that on in ready-mix when the demand in the market is strong. Other things that we baked into our guidance and our original assumptions were health care, which we saw about an 8% increase in labor, where we saw approximately 3% increase. Now we did bake price increases in cement into our assumptions. And everything else was really running at about 3% broadly. We've obviously hedged our diesel. And right now, in Q1, we're showing a little bit of favorability on the actual costs compared to the prior year. And we're not really seeing anything else on the energy input prices that would be above the assumptions that we made in our original guidance.  So far fairly stable our inflation that obviously something that we’re watching very closely.
Operator: Next question comes from Anthony Pettinari with Citi.
Anthony Pettinari: Last quarter, I think you pointed to the potential nonrepeat of wind farm work as a swing factor. Just wondering if you're seeing any trends in that end market? And then just maybe circling back to full year guidance more broadly. Are there any other swing factors that you'd kind of call out that might get you ultimately to the higher end or the lower end of the range?
Anne Noonan: Yes, Anthony. So thanks for the question. So wind farm work, obviously, we did call that out last quarter as saying that if you look on a 2020 basis, we actually had a number of wind farm projects that are nice price mix, frankly, for the business. In Q1, this is where some of the pricing was negatively impacted because we had 1 wind farm this quarter. But prior year, we had more than that. So we're watching that. And as we said, this type of work is a little bumpy. And it's basically we bid and we win the job in the year, and we construct. So we continue to look at that. Longer term, we see this as nice work and a very good use of our aggregates and our business moving forward. So -- and it will drive more demand for alternative energy. On a full year guidance perspective, we've talked to what our assumptions are within the midpoint of the guidance. If we look at the low end, we would say that would be driven as we typically would look at our low-end by decreased pricing or lower pricing and volume and maybe some minor weather impacts. On the higher end, though, to specifically address your question, we would have there an assumption of having prices maybe across all of our lines of business. And also single to mid-digit volume growth across all of the lines of business. So they'd be kind of swing factors as we kind of think about the range of guidance. But as the year procedure when we get past our lowest quarter of the year, we will continue to assess our guidance and be very thoughtful about how we give you guys that number.
Operator: Your next question comes from Mike Dahl with RBC Capital Markets.
Mike Dahl: And I wanted to follow-up on kind of the divestiture plan. And so you went out publicly to the market, to investors with some of the high level details as two months ago. My question is, since that time, how have the discussions progressed. And I guess I'm thinking more from the standpoint of, have you started to receive more inbound inquiries into some of your assets? And to the extent that you've had additional discussions, whether it's proactive or reverse inquiry. Has any of that changed your view on number of assets, proceeds specifics around which assets might ultimately fall in the bucket of divestitures?
Anne Noonan: Yes, Mike, thanks for your question. So you're absolutely correct. We do come out with 10 to 12 assets. And I think, quoted a number over $200 million in proceeds with our best estimate at that time. As we discussed, we completed one this in Q1, and we have another one, several that are actually completed at this point and some that are in process and some that we're just starting. With respect to your question around inbounds, we actually have received a lot more inbounds because we announced that. I would say, though, that it hasn't really changed our view. But in saying that, I think I was very clear on our March 16 meeting that as we get past this first Horizon 1, where we've identified this set of 10 to 12 assets that are really no regret moves for us to divest. We will continually look at our portfolio and optimize it. And an asset that may seem perfectly good in the portfolio today may not belong in our long-term future portfolio. So I believe strong businesses constantly assess their portfolio to see how they can increase value for the shareholders and their overall stakeholder base. So we will continue to update you as we look at that and as we change and make firm decisions around divestitures or acquisitions.
Operator: And our next question comes from Jerry Revich with Goldman Sachs.
Jerry Revich: I'm wondering if you can touch on the volume cadence in the business over the course of the quarter. Optically, you were coming off of pretty tough comps for your aggregates business, and it seems like the comps do get easier on a 2-year stack basis in the second quarter. So I'm wondering if you could just comment on the flow of demand over the course quarter and touch on how April look just to help us understand the cadence.
Anne Noonan: Well, our volume cadence, we were strong at the end of 2020, and that continued right into Q1. Obviously, our comps were somewhat different as we got into Q1 of 2021 because we had COVID impact last year. But we also had very robust demand here in 2021 in Q1, and we did hit record volumes as we went into that. So we're actually very positive about the level of fundamental growth that we're getting from in migration and from our public spend. So I wouldn't say there's really a cadence beyond that. As we go into Q2, clearly a much bigger comp for us on volume. And the level of public spending, residential, continuing strong. We see that our demand -- we have nothing to say that demand will not continue. As I said, in nonres, wind farms provide a little bit of bumpiness to our numbers at times. That may be the only thing I would say from a volume cadence perspective that might have impact. But overall, I would expect that unless something drastic would happen with respect to public funding, which is steady right now, and we would call it normal levels, not high levels of funding, we should be in a pretty good shape in Q2. But you're correct, Jerry, at pointing out that it is a tougher comp for us.
Operator: This concludes our question-and-answer session. I will now turn the call back over to Anne Noonan for closing remarks.
Anne Noonan: Thank you, operator, and thank you all for joining us. I'd like to leave you with three messages. First, Summit is in the right place at the right time. Megatrends are coalescing in Summit’s key markets and all require some form of aggregates, ready mixed concrete, cement, asphalt and/or paving and a combination thereof. Second, we are seeing signs of early success towards our Elevate Summit goals. It may not be a linear upward trajectory every quarter due to the nature of our strategic priorities, but we will be transparent and relentlessly focused on execution. And finally, we are creating a culture of excellence across the business for Summit to standardize and simplify and also to lead in social responsibility and innovation that will drive long-term sustainable growth that is not dependent on any one market or geography. That concludes our call. Thank you, and have a good day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.